Carlos Gallego: Good afternoon, everyone and welcome to our 2024 Results Presentation. This is Carlos Gallego speaking, Head of IR. It’s a real pleasure being with all of you today. Our Chairman and Chief Executive Officer, Maurici Lucena, will host the call together with Ignacio Castejon, CFO and myself. We are going to cover some of the main topics explained in the results presentation that is already available on the CNMV website, and we’ll finish with a Q&A session. Without further ado, I give the floor to Maurici Lucena. Thank you.
Maurici Lucena: Thank you very much, Carlos. Good afternoon, everybody and thank you all for joining us to go through our 2024 results presentation. As Carlos said, I will start commenting the key highlights, and then I will give the floor to our CFO, Ignacio Castejon. So I will start with traffic. First, you know that 2024 was the second year in a row with the highest traffic ever at the Spanish airports. We are very proud of this achievement, and we are glad to have been able to make it compatible with a high quality of our airport services. You know that in total, Aena Group traffic increased year-on-year by 8.5%, up to almost 370 million passengers. And this means that we handled more than 1 million passengers per day on average. This is another milestone we are very proud of because we thought that this 1 million passengers per day on average would be achieved maybe in 2027. So we are very, very happy to have been able to achieve it in 2024. In the Spanish network, the annual increase was 9.2%, and we reached almost 310 million passengers. And you know that today, we – at the beginning of the day, we announced that our traffic estimate for 2025 at the Spanish airports is an increase of 3.4%, which means that if we accomplish this estimate, this will mean that approximately 320 million passengers will go through our infrastructure facilities. Regarding our fully – and this is important, regarding our fully consolidated international assets, the traffic growth expected in the current year in 2025 may be higher than the mentioned 3.4%. Okay. Now I will move to the financial performance. With respect to the 2024 financial performance, total revenue grew by 13.3%, up to €5.8 billion. On the cost side, the total operating expenses grew by 7.6%, up to €3.2 billion. So this means that in total, the EBITDA came at €3.5 billion. And this again means that the EBITDA margin stood at 60.2%, which compares happily with the 58.8% of 2023. Again, this EBITDA margin, we expected in the context of our initial strategic plan to be reached in the future. So we are very happy to have been able to achieve it before the schedule. All in all, the net profit reached a total of 1 point – a little bit more of €1.9 billion. On the commercial side, I would like to mention that the commercial activity experienced a robust growth trend. You know that this robust growth started back in 2022, but the good news is that it continued into 2024 and taking into account our 2025 forecast, it will continue. This is our forecast. And in 2024, total sales grew by 11.4% year-on-year, thanks to, on the one hand, the traffic strength and on the other hand, I would also highlight the increased spending per passenger and the constant introduction of new brands. If specifically, I concentrate now on the new contracts in specialty shops and food and beverage, the contracts awarded in 2024 represent, I would say, a very strong minimum annual guaranteed rents increase for 2025 of 45% and 50%, respectively, compared to those of 2024. I repeat it. If I now concentrate on specialty shops and food and beverage, the new contracts that we awarded last year in terms of MAGs, the increase was, respectively, 45% and 55% when we compare 2025 to 2024. In the – on the real estate side, real estate revenue increased last year by 11%, pushed, I would say, principally by the air cargo activity. The air cargo activity has been performing very, very well. And currently, the cargo business represents 46% of the real estate revenue, which is a higher percentage that we expected a few years ago. This is – on the other side, natural because this – the business areas in the airport activity evolves dynamically and it’s sometimes a little bit difficult to foresee what precisely will be the share of each of the business lines. But we are very – in other words, very happy with the evolution of the cargo business. I now move to the international area. 2024 was the first full year that we managed the Congonhas concession, the 11 airports that go – well, the 10 that go along with Congonhas, and I’m happy because I can naturally say that very significant progress has been made since the beginning of the year in this – within this concession. We have awarded, for example, the mandatory CapEx to be executed in Congonhas before 2028. And some initial initiatives aiming at improving the operational activity and the passenger experience have been implemented, and I would add, have been implemented successfully. On the CapEx side, 2024 was a year, let’s say, of light CapEx in historical terms and also in future terms, including the international activity. And you know that now our aim is to prepare the company for a new CapEx cycle, a very strong CapEx cycle that will start with the third DORA in 2027. But the company needs internally to prepare before the start of this new CapEx cycle. And I’m, let’s say, tranquil in the sense that I can witness how the teams are adequately preparing for this new CapEx cycle, which will be challenging because you know that the volume of CapEx that will start with the first year of DORA III 2027 will be a very high volume of CapEx. Okay. In terms of dividends, you know that the Board of Directors has proposed, and we have disclosed this morning has proposed, for approval at the Annual General Meeting, the payment of a gross dividend of €9.76 per share. It means an increase of 27.4% if we compare this future dividend with the one that we distributed in 2024, corresponding to 2023. And finally, let me please highlight the fact that we celebrated in February that – well, the first 10 years as a listed company. You know that for Aena, this was a very important milestone. The – because I was – sorry, because I was saying this in Spanish, the IPO that we launched in 2015. And we are also very happy with the evolution of the share, the financial results. I think that the reputation that the company, I would say, has gained for the last 10 years. In terms of the share evolution, the revaluation is above 260%. And here, I’m not including the dividends paid. And you know that we have become, and this is also a milestone, the sixth Spanish company of the IBEX 35 by market capitalization. And in this context, I think that is very natural to understand why we will propose in the next Annual General Meeting to split the number of shares in the proportion of 10 new shares for each old share by reducing the nominal value of each share from €10 to €1. Aena’s share price is currently the highest in the IBEX 35. So our objective is simply to, if possible, gain some further liquidity. We are happy with the evolution. But we – in other words, we will make it more comfortable, easier for the investors interested in Aena to invest in our company. And in terms of ESG, I would like simply to recall that Aena is strongly committed on reducing carbon emissions. And the proof is that last year in 2024, we brought forward the target of achieving zero emissions from 2040 to 2030. So this is the end of my brief presentation. I will join you back, of course, in the Q&A space, in the Q&A session. And now I will give the floor to our CFO, to Ignacio Castejon. Thank you very much.
Ignacio Castejon: Thank you very much, Maurici. Hi, everyone. This is Ignacio speaking. Let me go through some details with respect to traffic and financial performance on the company, and we’ll try to have some time at the end for Q&A as our Chairman was referring. On traffic, our Chairman and CEO already covered the traffic performance in Spain and also across the group. So let’s see what has happened at Luton Airport that managed to handle 16.7 million pax. That’s an increase of 3.3% versus the previous years. And in our Brazilian assets, ANB managed almost 16 million passengers. That’s basically an increase of 8.3%. BOAB, our latest concession awarded in Brazil, managed to deliver an increase of 4.1% compared to 2023. So that’s 27.4 million passengers. If we look at deeper at the traffic performance in Spain, I’m referring to Slide 11 and 12, the international traffic growth at 11.2%, more than double the domestic that stood at 5.4%. Therefore, the market share of international traffic increased from 67.2% to 16 – sorry, to 68.3%. European traffic represents 86.2% of our international traffic, slightly lower than in 2023 because some long-haul destinations in LatAm, North America and Africa grew above 14%. I would highlight the case of Asia, in which even starting from a very low base, we have managed to double the traffic in 2024, reaching 1.3 million passengers. I would like to share some further information with respect to our main markets. Growth in the UK has been growth – sorry, from the British market, has been 7.6%, German market grew at 9.9% and Italy circa 15%, 14.8%, a very material growth coming from that country. And from France, we managed to have a 7.2% growth. Our two main largest markets, the UK and Germany are already well above the 2019 traffic levels. In terms of performance of our airports of our assets in Spain, in terms of passenger volume, Madrid-Barajas had an increase of 9.9%; Barcelona-El Prat, 10.3%; Palma, 7%; and the Canary Islands, slightly above 9%, so remarkable traffic growth coming from our main assets in the Spanish network. With respect to our airlines, our top 10 airlines carry 223.7 million passengers. That’s an increase of 7.9%. Operators such as Ryanair, Vueling and Iberia managed to concentrate 72% of the whole traffic. I would like to highlight that low-cost traffic grew by 9.6% year-on-year and meant 61.6% of the total traffic in our Spanish assets. I’ll go now to Slide 13 and I’ll start with our aero activity. Ordinary revenue grew 13.7% year-on-year, mainly due to traffic performance, but also due to tariff increase that was applicable in 2024, starting in March 1, 2024, with an increase of slightly above 4%. With respect to dilution, the company had a dilution in 2024 amounting to €129.4 million. Moving on to the commercial business, total sales of our tenants at the airports increased by 11% above – that’s a number well above traffic growth. And on a per tax basis, the growth was circa 2%. Total commercial and real estate ordinary revenue grew by 14.3% year-on-year, so reaching a figure close to €1.9 billion and again, above traffic performance. This performance is mainly driven by higher traffic, higher total revenue per passenger, growing by 4.6%, reaching €6.1 as you can see in the slide. As you can see, there has been a significant growth coming from minimum annual guarantee rents, as explained by our Chairman, and also the straight-lining adjustments resulting from the new contracts that we signed in this year and in the previous one. In Slide 15, we saw the commercial revenue amounting to more than €1.7 billion, resulting in an increase compared to 2023 of 14.7%. Real estate revenue increased by 8.4% to €114 million. Excluding the multiyear adjustment, the multiyear straight-lining and other adjustments, as you can see in the previous slide, sorry about that, in Slide 14, I think. Yes, the real estate revenue – the commercial and real estate revenue grew by 11.7%, and the revenue per pax – on a per pax basis grew above the inflation – the target inflation rate of 2%, reaching 2.2% growth rate and reaching €5.72 per passenger. Let me share some specific details on our main commercial business lines. I would like to start stating that the sales of our tenants in our core retail activities, duty-free, specialty shops and food and beverage grew well above traffic. In the case of duty-free, growth was 15.2%, in the case of specialty shops, 11.9% and in the case of F&B, 11%. Total revenue in duty-free grew by 28.2% compared – sorry, to 2023, reaching €527 million. All the contracts ended in 2024 this year below the minimum annual guarantee rents. I would like to add that in the Canary Islands’ case, in the Canary Islands’ contract, we were very close to exceeding the minimum annual guarantee rent, but the performance was affected because of the refurbished works in some of our airports, for example, in Gran Canaria. We are happy, especially happy with the growth rate that we have seen in the month of December on an isolated basis. That’s a very important month because this is a month in which we have managed to finish some of the construction activities related to the business line and the sales that we have seen this month has been outstanding. With respect to F&B, revenue has increased by 7%, mainly pushed by the 29 premises that entering operation through 2024 in Madrid and also because of some increases in the surface allocated to these business lines, sorry. On the negative side, I would like to highlight that in the last quarter, our commercial activities in the airport of Palma de Mallorca have been affected because of all the remodeling works that we are accomplishing in that airport. Hopefully, through the next year, we’ll be able to have all the F&B specialty shops and duty-free amenities already in place to serve our beloved customers. VIP service. VIP services revenues keeps growing at a very healthy rate, as you have seen through the year, above 30%, reaching €155 million. Within this business line, VIP lounges that accounts for 82% of the revenue keeps growing at 28%. What are the reasons behind this growth? More customers, customer volumes are increasing around 26%, higher prices and average price increase of around 5% and the new facilities that the company is adding in some of our airports, for example, Manrique-Lanzarote, Tenerife South and Sevilla. As a result of all these improvements, we are seeing penetration rates still at 1.9% and hopefully going north with all these improvements. Rental car sales grew by 11%, also above traffic. Total revenue grew by 12.5% to €207 million. The reasons behind this increase are higher prices and increasing the number of contracts. Number of contracts had a growth very similar to traffic and prices were slightly higher with respect to the average transaction value of the contracts signed by the users of this business line. As you know, the new contract that we awarded in April came into force on November 1, and we’ll see the full impact next year. Car park revenue grew above traffic, too, plus 13.3%, that’s €204 million this year, and the main drivers of this business line or the main drivers because the growth – behind the growth of this business line are the pricing policy, higher volumes and also the optimization of the available parking spaces that we are accomplishing at Aena. As you know, we are constantly renewing our commercial offer. We have published 71 tenders in specialty shops and 37 tenders in F&B in 2024. As you can see from Slide #18, we have secured more than €1.2 billion of fixed and minimum annual guarantee rents in 2025. We’ll have to update these numbers once we add the new minimal annual guarantee rents of the contract that we will tender, sorry, throughout 2025. Our goal is tendering out 20% of the total premises in F&B, 6% in specialty shops and 43% in financial services. Let’s move to Slide #19. You will see that consolidated operating expenses amounted to €2.35 billion. That’s an increase of 6.1% year-on-year. The main drivers behind this increase are related to the consolidation of the portfolio of airports in Brazil, the new portfolio of airports, BOAB that is adding roughly €85 million, higher staff cost – staff costs, sorry, across the group more than 12%, sorry, and more expensive security, maintenance, RM people services in Spain. And on the other hand, we have also had some tailwinds related to the lower power cost that have contributed with a reduction in cost of €31 million, but also the reduction in the IFRIC 12 accounting expenses because we have managed to finish all our construction activities in the Northeast portfolio of airports in Brazil. If we look at the Spanish network, operating expenses totaled €1.9 billion. That’s an increase of 7% or circa 7%. Staff costs grew by 10.2% to €535 million, mainly due to annual salary reviews, that’s 2.5%, higher social security costs, also the increase in headcount costs. And also, we have marked a potential impact for the review of our salary costs related to the negotiations of the new collective agreement at Aena level. Other operating expenses rose by 6.9%, reaching €1.2 billion. In the network in Spain, as I’m sure you will realize, the ratio of OpEx per pax has decreased by 2.2% from €6.39 per pax to €6.25 per pax, that has happened while activity has increased by 9.5% in terms of traffic. If we look at the cash generated by the operating activities, I’m referring to Slide 22, they amounted to €2.7 billion. That’s an increase higher than the increase that we have seen in the EBITDA because it’s an increase of 23.7%. At group level, consolidated net financial debt decreased to €5.5 billion and the net debt-to-EBITDA ratio stood at 1.57x. With respect to our hedging policy, debt – hedged debt or debt or fixed rate debt stood at 77% of our total debt compared to previous year that was at 75%. And on the average cost of our debt, it remained at 2.54% compared to 2.20% in 2023. Let me devote some time to the international activity of the company, and we’ll finish after that and we’ll start with the Q&A session. With respect to our activity, international activity, I’m referring to Luton Airport. I’m very happy to say that we are already operating Luton at 93% of 2019 traffic level. I would like to highlight that total revenue and EBITDA were the highest ever and also the increase – the significant increase in the EBITDA margins. If we move and we cross the ocean, our activities in Brazil, our ANB closed the year with 59 million passengers, as I was stating earlier. And the increase in terms of passengers was 8.3%. EBITDA, you will realize that from an accounting standpoint, show a decrease of 69%. There is a reason for that is a nonrecurring one. I’m sure you will remember that last year, we unwind the impairment that was affected this company. And therefore, we had an extraordinary revenue, that is the reason behind the EBITDA of the previous year that was BRL1 billion. If we compare apples-to-apples, the increase in EBITDA for this international subsidiary of Aena is higher than 40%, as you can see in the slide of the bottom left. If we move to BOAB, the Congonhas concession, you will also see a significant increase. There is a reason behind that. Last year, we only account for a couple of months, so slightly 40 days of the activities related to Congonhas Airport and the rest of the portfolio. And this is the very first year in which we are already showing the total EBITDA for the activities of this portfolio amounting to BRL600 million. From a CapEx standpoint, also it’s worthwhile mentioning that last year, the figures that we invested that we paid are showing the upfront payments, the initial upfront payments that we had to pay in Brazil because of this concession. And in this year, there has been a minimal cash flow coming out from the company for CapEx-related activities. And that would be the end of my presentation. So, operator, if that’s okay for you we can – we are ready to move to the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Cristian Nedelcu with UBS. Your line is open.
Cristian Nedelcu: Hi, thank you very much for taking my questions. Maybe the first one on the December decision from the regulator to keep the tariffs flat in 2025. Could you please clarify what were the arguments from the regulator side for this decision? And what do you expect to be able to achieve in tariff increases in 2026? You have quite a meaningful tailwind from the K factor dilution that should help you in 2026. The second question on DORA III CapEx, I think earlier on the call, you mentioned it would be a very, very strong level of CapEx when DORA III starts. I acknowledge that the plans are not finalized, but could you give us some color? Can you rule out a trebling of the CapEx, so €1.5 billion CapEx per year in Spain during DORA III? And the last one, if I may, is on retail in Spain. You have several initiatives to increase the commercial spend per pax. Just simplistically, how should we think about growth in commercial revenue per passenger in 2025? Can it be more than the 2% that you’ve achieved in ‘24? Should it be less? Any color you could help us steer? Thank you.
Maurici Lucena: Thank you. I will start with the CapEx question and then I will give the floor back to Ignacio Castejon. Unfortunately, we cannot be precise in terms of CapEx. Why? Well, it’s just because we are very serious following the terms of the law in the sense that you know that this is a regulated business, regulated line. We still have to discuss with obliged, by the way, by the regulation with the airlines our proposal. But anyway, if we have announced and the regulator, the Spanish government, has said that they agree with us. We have announced. Sometimes, we’ve been the first to announce it. Other times, it’s been the government who said that they have – they are aware of an initial proposal of Aena, which they consider adequate. So I mean with this, I mean, that I don’t foresee this agreement in global terms between Aena and the Spanish government. We all agree that many Spanish airports need CapEx because they need to expand, others need [indiscernible]. So I don’t really see how we cannot agree globally the volume of CapEx. But of course, we have to be very careful because we have to introduce in the discussion the airlines. Okay. After this, a little bit dense introduction, if you just make the – do the exercise to consider that we have publicly announced the CapEx and the expansion of Madrid. Tenerife North, Tenerife South, Alicante, Valencia, Lanzarote and other smaller airports, you can directly make the deals that CapEx will be strong. And I would say significantly – very significantly above €1 billion per year. That’s – I mean, that’s because I think that I cannot say more than that, but I think that the advert is important, significantly above €1 billion per year, DORA III.
Ignacio Castejon: Thank you, Chairman. Cristian, this is Ignacio back. I understand there are two questions left from your side. With respect to the 2025 charge tariff, basically, the figure that we got was that the EMAG, the applicable EMAG of the previous year would operate as a hard cap with respect to the applicable tariff for 2025. That was the background that we got. With respect to next year, we haven’t started the consultation process for 2026 tariffs yet. So we are – that we normally starts in May. So – and we are still a bit far from being able to give you some further visibility on 2026 tariffs. What I think is clear that is an objective from the current mandatory regulation is that the interim regime is expiring from January 2026. On dilution, the regulation is clear about how dilution operates. So I will move to the next question that you were raising on retail.
Maurici Lucena: Sorry to interrupt, Ignacio, because I was thinking that going back to the CapEx question, I forgot to say that we have, for sure, also important CapEx in DORA III in Barcelona. And this is regardless of the final decision concerning the expansion of the airport. I mean we have announced that we will invest in T1 and T2 regardless of the expansion. And this investment will be at least €700 million. So I would modify my forecast. It’s not only significantly above – I would say, very significantly above €1 billion per year. Sorry to interrupt, Ignacio. Thank you.
Ignacio Castejon: Thank you, Chairman. So I think I had already addressed, Cristian, your first question, so, at the end of the interim regime, so no caps starting from January 1, 2026. With respect to retail, I believe you were asking about some guidance on commercial revenue per pax because we had experienced growth this year slightly above than 2%. What I would like to highlight, Cristian, is that a couple of things. I think first one, the straight-lining MAG adjustments this year, in 2024, have helped a lot in terms of our revenue recognition and income recognition. That impact, if we, for example, look at the duty-free business line, that impact, and I’m referring to the multi or straight-lining adjustment or multiyear adjustment, that impact will get smaller and smaller through the life of the contract. So we could have there some, I would say, headwinds that I will have to mitigate with the performance of the business. Next year, we have many initiatives. I was referring in my opening remarks about all the activity that we will deploy in Palma. We’ll also be deploying a lot of activity in Barcelona for F&B. So we are hopeful that we’ll be able to mitigate those potential headwinds with all the tailwinds coming from the performance of the business activities on rent-a-car. We are hopeful that we’ll be able to deliver the increase in sales that we said when we awarded the new contract and we are seeing also tailwinds coming from the VIP lounges. And also in 2024 – in 2025, sorry, all the construction activities, and some of them are very iconic, I’m referring to duty-free activities in Madrid, will be done. So we will see that, that performance hopefully will help and we’ll help the company to keep the growth in the commercial revenue per pax. Thank you, Cristian. Let’s move to the next question, operator, if we may.
Operator: And our next question comes from the line of Prieto, Luis with Kepler Capital. Your line is open.
Luis Prieto: Good afternoon. Thanks for taking my questions in today’s call. I had a couple of questions, if I may. The first one is regarding the following. If I look at financial leverage in ‘24, 1.6x net debt to EBITDA seems to me a very low number. Even with significant CapEx in DORA III that you were talking about, this figure should not spiral out of control. So would this put any pressure on the capital allocation front over the long term, be it higher dividends or more active M&A activity? And then the second question is, you mentioned that no – Ignacio, you mentioned that no commercial contracts were above MAGs levels in 2024, but passenger spend has grown very strongly. So would you say that you’re more or less optimistic now than what your updated strategic planned forecasts for the amount of variable rents exceeding MAGs in 2026? Thank you.
Maurici Lucena: Hello. Again, this is Maurici Lucena. I will answer the first question. I would say, honestly, that nothing relevant has changed in terms of the capital allocation plan of the company. I honestly think that there’s room for everything. We will invest strongly. We will keep our 80% dividend policy, payout policy, at least because we are also aware that our debt ratio is decreasing. But at the same time, as I said, the DORA III will be very demanding in terms of CapEx. So for us, it’s a good starting point that the room we have to leverage the company to manage the CapEx investment. But it will be absolutely compatible with what we think is a generous payout and dividend policy. And at least in the coming years, it will be 80% of the payout in terms of the individual company in Aena S.M.E., SA. And we – with this context clear, we will constantly analyze the best use of the capital that belongs to our shareholders. I am sorry, and I forgot M&A. In M&A, again, nothing has changed. You know that we look carefully at every single project. There are not that many projects in which we can be interested because this is sort of tight market. But we – I think that we have demonstrated clearly that this constant analysis of all the international opportunities is perfectly comparable with a very serious and rigorous approach to the figures, to the financial figures. You have seen that since the acquisition of Congonhas and the other 10 airports that went along with Congonhas, we have not materialized any other international project, and it’s not because we have any at all financial constraint. I think we have a financial muscle to let’s say, to materialize any international opportunity, but it has to accomplish the very strict financial objectives and analysis that we always do with these kind of projects. But I am just adding this reflection because of course this is another important part of the space of the general space of the capital allocation. Thank you.
Ignacio Castejon: Thank you, Chairman. Hi Luis, this is Ignacio. You were asking about our commercial performance and how that compares, if I understood you well with our strategic plan. I think at this moment in time, Luis, we will not be updating or providing different guidance on the commercial activities compared to the strategic plan. There have been some tailwinds. We have a higher traffic than we were expecting when we put together that plan, as you will have seen from the guidance that we provided last year – sorry, last – yesterday, last night, and some business commercial lines are operating in a very satisfactory manner. We have managed to deliver increases in MAGs. But also we are very careful that the macro situation is where is the strength. Inflation is remaining, is a bit sticky or stickier than we were planning, and that could affect passenger behavior. So, at this moment in time, happy to provide more information on the performance of this year lease, but I will have to stick to the guidance provided for the commercial performance of strategic plan. Thank you.
Luis Prieto: Absolutely. Thank you very much.
Operator: Our next question comes from the line of Elodie Rall with JPMorgan. Your line is open.
Elodie Rall: Hi. Good afternoon. Thanks for taking my questions. The first one is just to follow-on, on the discussion on M&A. So, obviously you have room to do some more M&A. As you said, you haven’t done a lot, and you had the ambition, I think to grow EBITDA in international from 10% to 15% as part of total of EBITDA of – group EBITDA. So, I was wondering if you could update us on the pipeline, if there is anything in the pipeline for ‘25 or at least over the next year. Second, the question is on cost inflation. If you could give us a bit of a guidance on where we should land on energy costs where your hedging is also ongoing and on wages given the negotiations that you have had, so what kind of inflation you are looking at for ‘25. And then lastly, I was wondering on your traffic guidance, you give us a very precise guidance this time. Do you think it’s still conservative, I mean we know you are usually conservative on that? So, I was wondering if you could give us a bit of qualitative comments around that guidance. Thank you.
Ignacio Castejon: Hi. Thank you very much, Elodie. This is Ignacio speaking. I will try to remember all the questions that you raised. With respect to cost inflation, and potential performance of our cost lines. Well, this year, the Chairman was referring to the, I would say, very successful performance in terms of EBITDA margin. This year has been, I would say, has been outstanding. We have an increase in charges that 4%. And also in the commercial side, we were able to get a significant increase coming from all the new contracts signed. And on the OpEx front, the energy costs help us. If I remember well, the improvement that we got – the reduction, sorry, that we got from the previous year was around €30 million. So, that has helped a lot. But if you look at our main cost items related to operations, we have suffered some cost pressures. And I am referring to security. I am referring to cleaning. I am referring to PRM cost. Those are trends that, given what we are seeing in the market, our trends are going to be there through the next months. We don’t see why it would be changing. We are seeing cost increases coming from our suppliers. We are seeing, sorry, cost increases coming from or as a result of the sticky inflation that I was discussing earlier with Luis. And we are seeing also more and more regulation applicable to some of our activities on the aero [ph] side. So, that would be my reaction with respect to your question on cost. I think that the potential change in 2025 versus 2024 is energy prices. January energy costs were higher, that’s public info. That’s market info. And we are not managing information that give us visibility with respect to energy costs through the 2025 being much better than the previous year. So, the positive impact that we have into 2024, perhaps is not there in 2025. So, Elodie, you were asking – you were also asking on M&A further to the previous explanation of the Chairman. Of course, we cannot set any specific pipeline with you or specific deals because normally, if there is anything, any market player is always subject to confidentiality agreements. Normally, the press is always following and media is always following any transaction that is there, so that’s all what I can say at this moment in time Elodie. On traffic guidance, I think if I look at the consensus public info, etcetera, there were many peers. There are many houses and brokers that follow us that were between 3% and 4%. And with respect to the potential growth of next year, I understand that we – the guidance that we have provided is slightly below consensus. I don’t think that, that means that we are prudent or conservative. That means that that’s a result of a thorough analysis coming from our planning teams, for a bottom-up analysis – from a bottom-up analysis, sorry, looking at the scale of the airlines, trying to understand the load factors for the next months, looking at the summer schedules, putting all the information that we have together, and that’s our conclusion today. There is a significant uncertainties around us, affecting geopolitics in Europe affecting monetary policy in Europe and affecting inflation in Europe from a political standpoint also. Many countries in Europe are also going through difficult or at least interesting times. So, that’s how we see 2025 in terms of traffic growth. Let’s see how summer evolves, next month evolve. And we are hopeful that we will be able to deliver the growth that we disclosed yesterday. Thank you.
Elodie Rall: Thank you.
Operator: Next question comes from the line of Andrew Lobbenberg with Barclays. Your line is open.
Andrew Lobbenberg: Hi there. Could you talk to us a little bit about what might happen at Luton if there is approval by the government to expand it, how that would work in terms of the growth in concession renegotiation of the concession that sort of thing. Could you talk to us a little bit more about Barcelona, I mean you came back and highlighted that you have the plans to undertake €700 million of investment regardless of the expansion plan. Is there any prospect of seeing agreement on expansion, or is that simply unrealistic given the political context? And then just finally, just wondering when you might refresh the CMD or refresh the strategic plan given the strength of performance this year. Is there any prospect of you guys coming back with a Capital Markets Day this year, or would it rather wait until the DORA 3 is closer to finalized or indeed fully done? Thank you.
Maurici Lucena: Hello. Again, this is Maurici Lucena. I will answer the last question. I think – it’s a very good question because we had internally to reflect on that carefully. Fortunately, happily, our strategic plan has become sort of obsolete in the sense that we have achieved our objectives both in terms of volume of activity and in terms of financial figures. But on the other side, I think that for a company like Aena, it’s very natural to, let’s say harmonize its strategic plan with the regulatory period. I know that globally, we also have to take into account Luton and Brazil, but still the relative weight of Spain is very high. So, I feel more comfortable if possible, we can, let’s say, put in line the period of the strategic plan with the DORA. And in this sense, we just have to wait 1.5 years. So, I think it’s alright. We – during this 1.5 years, we can take as a reference, the current strategic plan. And or as an alternative, we can compare with 2024 which is more or less similar and wait until 2027 to inaugurate the next strategic plan, which means that we will have to work on this new strategic plan in 1.5-year time because we will start reflecting on the new strategic plan as a strong guide for you and for us internally, at the beginning, as I have said, of 2026. So all-in-all, we will wait. And I will give the floor to Ignacio to explain better the – what we know for sure regarding Barcelona and what we don’t know for sure regarding Barcelona. Thanks.
Ignacio Castejon: Thank you, Chairman. Hi Andy, this is Ignacio. On Luton Airport, I think was your first question. Well, as you know, Aena is a 51% shareholder in company that is the concession holder of a contract of a concession that is terminating expiring in 2032, August 2032, if I remember well. Therefore, any potential improvements, expansion of that airport, if they have to happen or they may happen, because of the decision coming from the British government giving green light to any expansion sponsor by Luton. If that expansion needs to happen earlier or is convenient that happens earlier, I think from our side, we will be willing to have that discussion. We are an airport operator. Luton is an airport that we know well, it is just about sitting with all the different stakeholders, with our partners over there, with our clients and trying to reach a potential solution to that equation, and having the expansion taking place or at least part of the construction activities related to that expansion taking place before the end of our concession and that’s a scenario that we would love to see. Having said that, at this moment in time, the contract that we have is very clear that we have a concession contract. Hopefully, the experience of our clients with us is satisfactory, and that’s what we think. And there might be an angle there to find a solution that can help – that can get that expansion of the airport being managed through the current agreement or an amended agreement of Aena and our partners there with Luton. With respect to Barcelona CapEx, the Chairman was referring earlier to an investment of around €700 million in that airport. Basically, that investment is related to creating more space to improve security controls, checking and baggage claim areas so that we can accommodate the necessary space that we need because of the new machines, the new devices are necessarily because of the current – because of the regulation that it is becoming mandatory in Europe. So, that we are – that’s happening. That’s happening anyway. And there was public information about that, and we have launched some of the contracts in order to put together that in the next months from design and engineering standpoint. With respect to the future expansion of the airport, as we were saying earlier, that’s something that at this moment in time is being discussed at government level. So, I will not be able to give you more insights or more updates. From the company standpoint, the position is that we are totally supportive of the expansion, and we will be happy to work on it if it finally happens. Thank you.
Andrew Lobbenberg: Thank you.
Operator: Next question comes from the line of Dario Maglione with BNP Paribas. Your line is open.
Dario Maglione: Hi. Thank you and congratulations for another excellent year. Three questions for me. The first one on dividend payout, you mentioned earlier that we should keep – we should expect that 80% remains stable in the next few years as you also include in DORA 3, or is it just for ‘25 and ‘26? Second question is on OpEx in Spain. The staff cost increased 10%. And as you mentioned, of this around 7%, 8% was wage. However, there was an agreement in place for the quarters to increase costs by only 2.5%, if I remember correctly. What explained the difference between 7.5% and 2.5% annual increase? And third question on the car rental. In Q4, it was – there was a big increase in revenue per passenger. I think it was around 11%, while for the nine months, it was totally flat year-on-year. What explained this sudden improvement? Is that a new contract? And if so, is it sustainable in 2025? Thank you.
Ignacio Castejon: Thank you, Dario. This is Ignacio speaking. Let me get – with respect to your first question on dividends. I think what I can confirm to you is the current dividend payout policy of the company that stands at 80%. That is the highest and that unless it is changed by the Board that will remain as the dividend payout policy. I would like to highlight that given that is – sometimes we are challenged because net income is an accounting and it’s not based on cash flow. We are also anticipating some cash because part of our revenue coming from our commercial activities is pure accounting revenue. There is no cash there coming from the commercial activities and the straight lining adjustment. So, that’s an advance with respect to cash flow generation of the group. With respect to DORA 3, what I can share with you, Dario, is that once we have all the plans together, of course, we will look at a dividend payout policy, and we will see if taking into account CapEx needs, traffic forecast, etcetera, that needs to be changed. Of course, we will look at that. But at this moment in time, the only thing that I can confirm to you is the current payout, Dario. With respect to staff cost, there are a few drivers explaining the performance of the staff cost. And if you look at on an isolated basis the last quarter of this year, you will realize that there has been an increase there through the year. The main drivers for the increase are related to salary increases. You are right, that’s around 2.5% because of the current agreement that is expiring or that expired, sorry, last year because it was applicable until the end of 2024. Also, we are adding headcount. The company is growing. Its traffic is growing 9.5%. We have an international footprint that is getting more and more interesting, but also complex. And therefore, we have been forced to add more people that hopefully will deliver value for the group and for the shareholders. And also social security costs increased because of regulation becoming mandatory in Spain with respect to removing some social security caps that were applicable earlier. On top of that, and that’s why in the last quarter, you will see an increase, we have decided to book a potential impact as a result of the negotiation that is taking place related to the new collective agreement that could be applicable to the company. As a result of that new collective agreement and the content of the collective agreement, salary costs could increase a bit and some solid cost related to items that accrued last year. So, that’s the reason for the performance of staff cost in 2024. I think you had a last question related to the car rental business that if you can repeat it, I would appreciate it because I think you were referring to some performance for the last months, but I couldn’t you well.
Dario Maglione: Yes. So, it was currently a big increase year-on-year in rental revenue per passenger in Q4. I suspect this is a new contract, but I just wanted to confirm that.
Ignacio Castejon: Yes. You are totally right. As part of the new contract that started, if I remember well, remember the first variable rent increased from 8% to 8.5%. And also, we had increases in the fixed rent related to all that business activity. Also, contracts have gone up and prices are slightly above last year, so last quarter, the contract and also activity levels outperformed as the rest of the – as the previous nine months. The result is a better performance this quarter. Thank you, Dario. I hope that addresses all of your questions.
Dario Maglione: Thank you.
Operator: Next question comes from the line of Marcin Wojtal with Bank of America. Your line is open.
Marcin Wojtal: Yes. Good afternoon. Thank you so much for taking my questions. I have got two. Firstly, can you just update us as to what are the next steps on DORA, where could we see Aena publishing its proposal for DORA 3? Is that only in 2026, or could we already have some news flow during this year? And my second question relates to the CapEx that you mentioned, significant investments, but I would be interested to know what is the increase in your capacity that you anticipate to achieve with those investments during DORA 3 in terms of millions of passengers, are we talking about €20 million extra capacity or €40 million or it’s much higher than that. Could you perhaps provide some sort of indication? Thank you.
Ignacio Castejon: Our pleasure, Marcin, and your questions are very good ones. My fear is that I don’t think I will be able at this stage to provide you a complete answer. With respect to your first question, very likely at the end of this year or very early 2026, there will be information publicly available about DORA 3, that’s our goal, and that is very clear in regulation, the consultation has to start at that moment in time. Before that, I think it’s unlikely that there will be a whole picture of the company for that period of time. With respect to your second question, I think we are going through that assessment at this moment in time. So, we are analyzing all the current footprint of the company from a capacity standpoint, all the assets, all the investment plans on the CapEx needs of the company. We are trying to prioritize half a list. From there, we have to talk to the government, the airlines, the carriers and the startup process in order to confirm if that priority lease is also one that they are willing to support that further to the explanation of the Chairman, we are confident that, that will be the case. Thank you.
Maurici Lucena: And this is Maurici Lucena again. I would just add that if you look with some perspective the last 20 years, I think that clearly, one competitive advantage of Spain in terms of tourism and consequently, in terms of, let’s say, a competitive advantage also of its whole economy has been that Aena and its airports have had systematically enough capacity, sufficient capacity to accommodate the demand. I think that this feature of the last 20 years or of the last decades, it’s something that it’s very appreciated by also the regulator that in this case, the Ministry of Transport and the Spanish government and also by the airlines. So, in the long run, in the long-term, one clear objective is to keep alive this competitive advantage, which is – which comes from Aena, but let’s say, it irradiates the whole tourism – the whole tourism sector and the whole Spanish economy. And I think this is, let’s say, on the bottom line, what will – what will inspire the coming investments. That’s why they will be high because I think that we all agree in Spain that the airport system has to keep this, let’s say, short or moderate excess of capacity in order constantly to have sufficient room to accommodate the future traffic. Thank you.
Marcin Wojtal: Thank you very much.
Operator: And our last question comes from the line of José Arroyas with Santander. Your line is open.
José Arroyas: Yes. Good afternoon. Gentlemen, I have three, if I may. The first one is on the dividend policy. And I know this was covered earlier. I wanted to ask you in a slightly different way. Last year or in 2024, the free cash flow was about €1.8 billion by my analysis, but the dividends paid were just €1.1 billion. Going forward, in the absence of M&A, the net debt will continue to go down. I wanted to ask you is beyond 2026, Aena accrued link dividends not only to earnings as it is doing now, but also to net debt performance. That would be my first question. My second question is on the Chairman’s comments about CapEx in DORA 3 been significantly above €1 billion per annum. I suppose the Chairman was alluding to the CapEx in the cash flow statement. But I was curious if you could give us some sense if the RAB may also grow by €1 million per – by more than €1 billion per annum in DORA 3. And lastly, on the traffic outlook for the summer, I wanted to pick your brands on [indiscernible] statements that they want to reduce flight capacity at several regional airports in the summer season. I wanted to understand if Aena is already receiving interest from other airlines to fill those gaps, or is there is a need to adapt the commercial incentives in these airports? Thank you.
Maurici Lucena: This is Maurici Lucena. I will take just the dividend policy. I mean the question is very good. But just to try to be in my shoes you see a very challenging DORA 3. At the same time, of course, we are in ratio terms, we are deleveraging the company. I can – I am perfectly aware of this reality. And on the other hand, we are all the time very, let’s say, we are permanently following any novelty in terms of international opportunities, always very seriously analyzing the financial vector, of course. So, I still need or when I say I, I mean the company, of course the company still needs a little bit of time to have a greater visibility in terms of the precise amount of CapEx. You said that I mentioned significantly above. But I added afterwards, very significantly above €1 billion of CapEx. So, probably in – at the end of 2026, we will have a clearer picture of precise CapEx DORA 3 and CapEx necessities. On the other hand, what international opportunities in the terms that Aena values are visible. And finally, the leverage we need and of course, not forgetting – never forgetting that at least our dividend policy in the coming years will be 80% of payout of Aena SME. This is at least and I don’t see any element in the foreseeable future that makes me question this dividend policy, not at all. I mean I would say that rest assured that we don’t have new pandemic or any other natural disaster, we will maintain this 80% dividend policy. And that’s – I mean it’s not that we do not want to disclose valuable information. It’s that if you are careful and prudent at the present time, it’s difficult to, let’s say, how would I say, to manage coherently all these very different pieces that have an impact hypothetically at least on our leverage and more solidly set our capital allocation.
Ignacio Castejon: Hi José, this is Ignacio back. You were also referring to some questions related to input of CapEx investments in the regulated asset base. You know regulation, if we invest and the assets become active from an accounting and from regulation and also for real activity, we can add all those investments to our regulated asset base. That’s how it normally operates. So, if we are able to deliver our plan in which we are able to invest similar amounts to the ones that the Chairman was using as an example, that that will become part of the asset regulated base in the DORA 3 and DORA 4 depending on how to execute those construction works and when they are open and become active for passengers. I understand those. You were also asking about our airlines and this was situation discussions related to the possibility of having other airlines, carriers replacing the potential or the routes that Ryanair could stop providing. Well, as the MD for all the airport activities of the company, Elena Mayoral always explains those activities of talking to cities, towns, other airlines, it always happen. We are always in continuous conversations with all the different stakeholders in order to understand the appetite, the interest of airlines in all our airports and in particular, those airports that have to provide some kind of public service in the event that an airline leaves the operation of the airport. And that’s something that we are doing on a daily basis because it’s our obligation as a company. Thank you.
Operator: That concludes the question-and-answer session. I would like to turn the call back over to Carlos Gallego for closing remarks.
Carlos Gallego: Excellent. Thank you. There are no further questions. So, I think we can end the soft presentation. Thank you very much everyone for joining us today. It has been a very helpful meeting. Thank you.